Operator: Good morning, and welcome to the Marpai First Quarter 2025 Earnings Webcast. All Participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Steve Johnson, Chief Financial Officer. Steve, please go ahead.
Steve Johnson: Thank you, and good morning, and welcome to the Marpai first quarter 2025 earnings release webcast. With me this morning is Damien Lamendola, CEO and Director of Marpai. Before we begin, I'd like to draw your attention to the forward-looking statements included in this presentation. And let's get right into it. Moving to our Q1 2025 highlights, we are seeing continued momentum and an acceleration of our turnaround efforts. Net revenues were $5.4 million for the 3 months ended March 31, 2025. $2 million or approximately 27% lower than Q1 in 2024. Some additional color with that is that industry turnover is typically 20% to 30% annually. So we are on the higher end of that. And the company continues to focus on our margin generating clients. So as we move forward, we continue to manage and either raise prices and do the renewals or lower margin clients will continue to drop off. Operating expenses were $7.7 million for the 3 months ended March 31, $3.8 million or 33% improvement over Q1 of 2024. Our operating loss was $2.3 million for the first quarter, $1.8 million or 45% improvement over Q1 of 2024. Our net loss was $3.1 million for the 3 months ended in March, which was $1.3 million or a 29% improvement over Q1 of 2024. Basic and diluted earnings per share were a loss of $0.21 for the 3 months ended March 31, 2025, which was an improvement of $0.25 per share over the first quarter in 2024. Next, I’ll turn it over to Damien to highlight the role of third-party administrators. Sorry, I’m going to turn over to myself to talk about the role of third-party administrators. So third-party administrators, what are they? As health care inflation continues to rise, a growing number of employers are adopting self funded health insurance. Third-party administrators or TPAs play a vital role in this landscape by managing claims processing and reporting. While TPAs manage the administrative aspects of the insurance program, they typically offer several value added solutions that drive both revenue for the TPA and savings for the employer. Marpai is positioned to effectively partner with these employers to navigate the complexities of self funded plans. The value proposition of a TPA is significant. Employers typically see savings up to 10% by simply moving to a self funded model managed by a TPA. This is driven by several key benefits. First, cost efficiency through reduced administrative expenses. Second, flexibility in designing customized benefit plans to meet the specific needs of their employees. And third, compliance support. Helping employers navigate complex regulatory landscapes and mitigate risks. And finally, and somewhat more importantly, is transparency. Through detailed reporting and data insights, we empower employers to make informed decisions about their health care spending. Whereas in typical fully funded arrangements, the employer does not receive detailed claim data or analytics of their member population. The TPA market in the United States is a $150 billion with forecasted annual growth of 12.1% through 2031. Marpai has a national footprint allowing us to service employers with multi state locations, which many of our regional competitors can't do. Marpai also offers significant cost savings programs and our relaunch of the MarpaiRx program will be game changing. More details regarding MarpaiRx will be shared later in the quarter. As a leading national independent TPA, our clients come first and we can aggressively negotiate with providers, optimize pharmacy benefit management, enhance utilization management, offer an emphasis on wellness and prevention, and implement alternative payment models like reference based pricing and bundled payments.
Damien Lamendola: Thanks, Steve. At Marpai, our core mission is to deliver affordable and intelligent health care solutions. And our deliverables remain consistent. Revenue growth, we have a strong pipeline of business for the second half of 2025, and we will communicate further updates when we hold our third quarter earnings call in November. On the customer experience, we are executing our rollout of the Empower member portal, which is on track to be completed by the end of the second quarter. And on profitability, we are relentless in driving efficiencies and cost reductions. In a short span, Marpai's team engineered an exceptional turnaround, dramatically reducing losses. As Marpai's largest shareholder, hitting profitability this year is my absolute top priority, and I won't be satisfied until we reach that milestone. To further our goal of profitability and drive growth, we strengthened our leadership team. I'm particularly pleased to highlight the recent appointment of Dallas Scrip as our Chief Operating Officer and President of MarpaiRx. Dallas brings a wealth of experience in the TPA industry with a strong track record from his previous roles, and is a recognized leader in the field. Dallas's appointment is a crucial part of our strategy to build a stronger bench across the organization. We have assembled a high performing team that will propel our growth initiatives and drive us towards sustainable profitability. A few final thoughts. In conclusion, Marpai is making significant strides in our turnaround. We are leveraging the growing demand for TPAs. At Marpai, we cut costs, we expect profits, we are growing, and we will be cash flow positive this year. Thank you for your time. We'll now open the floor for any questions you may have.
Operator: Thank you. [Operator Instructions] The first question comes from Neil Cataldi from Blueprint Capital Management. Please go ahead.
Neil Cataldi: Hey, guys. Thanks for taking my questions today. I got a few, if you don't mind. First, it looks like you didn't sign up as much new business in the first quarter compared to maybe what we -- we would have expected in 2024. I was wondering if you could give us some color into the sales strategy today and what you're changing so you can grow quicker.
Steve Johnson: Yes. Good -- great question. We really focused on the turnaround in 2024, improving our operations, our efficiencies. We didn't hire our two key sales people until May of last year. So kind of joined early enough to get some new business, but not early enough to get the larger clients out there. Now we've got the full team on for the full year. The nice thing is the team's been doing a great job of picking up lives, what I would call off cycle with about 80% typically either renew or change TPAs on January 1. That's when you usually get your big bump there and obviously we didn't get it this year. And part of that was also managing, as I mentioned in my comments, managing some of the lower margin clients to other TPAs to let them handle those less profitable clients.
Neil Cataldi: Okay, great. So we should expect you guys to kind of win lives off cycle this year, and then in the Jan cycle next year could be could be much different?
Steve Johnson: Exactly. Exactly. I mean, we've got the second half of 2025. We've got a very strong pipeline. Our predecessor company, Continental Benefits, had a strong relationship with the teachers retirement system of Texas. And we've recently signed a couple of school districts with them and they start September 1 from there. So those would be some good wins that we've got coming on. And then as I mentioned, we will also give a full update for the January 1 sales pipeline after our third quarter call in mid November. It's typically a 90-day cycle and we will have very good clarity on the numbers for 2026 by mid November.
Neil Cataldi: Okay, great. Switching gears, you burned I think $3 million in the first quarter. That's a pretty big hole to fill given the commentary around getting to cash flow positive. Can you talk about potential for further cost reduction initiatives? And what gives you confidence you can really get to breakeven by year-end?
Steve Johnson: Yes. Great question. Great question. We still have a few more duplicative vendors to rationalize, and we have a few legacy contracts that are coming to an end, which will provide additional savings. And the real bang for the buck is we are working on driving our operational efficiencies and some of the redundancies that we have. One, to reduce costs and two, provide better customer service and member service from there, which again, it's a virtuous cycle. When you offer great service, the ability to reference existing clients and to gain additional clients runs very positive. In addition, we've really reduced our cash burn rate. You'll see a significant reduction in the second quarter from there. And so we look solid for the second half of the year.
Neil Cataldi: Okay, great. And then my last question, though, is just you mentioned the Empower portal. I was wondering if you could provide a little more color on that and the benefits that the solution offers to Marpai.
Steve Johnson: Yes, this one is really a fantastic solution for us. Right now between the acquisition of Maestro and Marpai, we had a few different portals and apps out there for our clients to utilize. And what we are doing is rationalizing those multiple portals into the Empower Solution, which is really a world class application utilizing AI. And what's really neat about there is we've loaded each of our clients summary plan documents, which is the core of our clients benefit plans. And it allows our members to go on the app, get their ID cards and ask questions like, hey, is knee surgery approved for my benefit plan? And it goes in searches and answers automatically, which also reduces the number of calls that we require in our call center. In addition, if there's further clarification needed, there's a button right on the app that says make a call and that gets transferred to our call center. And it feeds all the prior information and the discussion and answers that were done in the app to the customer service agent. So they're right up to speed and can get to the solution that the member is looking for. So we see a big opportunity to again improve our efficiencies, reduce the number of heads that are required in our call center and also provide information right at their fingertips.
Neil Cataldi: Got it. Great, Steve. Thank you. Looking forward to watching the progress, and I'll talk to you guys soon.
Steve Johnson: All right. Thank you.
Operator: Thank you so much for the question, Neil. [Operator Instructions] Since there are no further question at this time, this concludes our question-and-answer session. I would like to turn the conference back over to Steve Johnson for our closing remarks.
Steve Johnson: Thank you very much, and I appreciate you joining us this morning. I just want to reiterate, a replay of the webcast will be available later today for the next week if you wanted to delve into more details or catch something on the slides. Thank you again.
Operator: Conference has now concluded. Thank you for attending today's presentation. You may now disconnect.